Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:04 Good morning, and welcome to the Innovative Solutions & Support First Quarter 2022 Earnings Conference Call. All participants will be in listen-only mode.  After today’s presentation, there will be an opportunity to ask questions.  Please note this event is being recorded. 00:33 I would now like to turn the call over to Shahram Askarpour. Please go ahead.
Shahram Askarpour: 00:40 Good morning. This is Shahram Askarpour, Chief Executive Officer of Innovative Solutions & Support. Welcome to our conference call to discuss our performance for the first quarter of fiscal 2022, current business conditions and outlook for the coming year. Joining me is Rell Winand, our CFO. 01:01 Before we begin, I'd like Rell to read the safe harbor statement.
Relland Winand: 01:07 Thank you, Shahram and good morning, everyone. I would remind our listeners that certain matters discussed in the conference call today, including new products and operational and financial results for future periods are forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ materially, either better or worse from those discussed, including other risks and uncertainties reflected in our company's 10-K, which is on file with the SEC and other public filings. 01:39 Before Shahram begins, I will read a statement from the Board of Directors. The Board of IS&S mourns the loss of our dear friend and colleague, Geoff Hedrick, and our deepest sympathies remain with Geoff's immediate and extended IS&S family. Geoff dedicated his entire professional career to advancing the state-of-the-art and safety avionics systems and flight controls. His extensive innovations included altimetry, flight deck display systems and most recently, a full-regime autothrottle for turboprops. 02:16 Leading publications such as Flying Magazine and organizations such as the AOPA recognized Geoff's significant contributions to the industry. Several of Geoff's innovations have proven truly transformational and have directly benefitted air travel. We will miss his unique vision, tenacity and humor. Dr. Shahram Askarpour has been promoted to Chief Executive Officer and elected to the Board of Directors with our full faith, confidence and support. 02:49 Shahram started with IS&S as Vice President of Engineering in 2003 and was promoted to President in 2012. For almost two decades, Shahram worked closely with Geoff, fully engaged in managing the business while contributing to numerous key innovations fueling IS&S' success. Most recently, he is a named inventor for the signal processing technology behind IS&S' new ThrustSense Autothrottle, adding to his numerous existing aviation patents. 03:23 Prior to IS&S, Shahram held technical and managerial positions with Smiths Aerospace and Marconi Avionics. While Geoff's loss is immeasurable, IS&S is fortunate to have experienced, long-tenured leadership and a robust portfolio of industry-unique products. We feel extremely privileged to have the continuity of leadership provided by Shahram and his team and are confident IS&S will continue to execute on the industry-unique products and market opportunities that it enjoys. 03:59 Now I'll turn the call back to Shahram.
Shahram Askarpour: 04:02 Thank you, Rell. We all greatly miss Geoff Hedrick, his leadership, his vision, . He founded and led the company for many years and was an inspirational leader. In the process, he built a very strong company dedicated to sustaining his vision and legacy over the long term. For nearly two decades, I was fortunate to have worked very closely with Geoff as Head of Engineering in the last 10 years as President focused on strategy and planning. Together, we developed the plans and products that have driven three straight years of revenue growth, profitability and positive cash flow. This has enabled us to return nearly $20 million in dividends to our shareholders in just the past couple of years. 05:01 My goal is to carry on that collective vision to capitalize on our unique competitive advantages, continue to grow the business and create value for our shareholders. I want to thank the Board of Directors for their confidence in me. Our goal is to reward that confidence by continuing to strengthen and improve the organization to grow the company while delivering strong financial results. 05:30 We have excellent products in attractive growing markets, including our award-winning autothrottle that has been adopted as a standard equipment by one of the largest, most respected general aviation manufacturers in the world. And we believe our innovative flat panel display is continued to be the cockpit retrofit choice for the many cargo carriers converting 757/767 aircraft. 06:00 Now let me talk about our recent results and the future. The momentum generated over the last three years has carried over into the new year, the revenues in first quarter, up 38%, leading to strong margins, profitability and cash flow. Our success is based on a growing portfolio of products that continue to offer what we believe are some of the best price for performance value in the general aviation, commercial air transport and military markets. 06:38 We're also well diverse offering products to both the OEM and retrofit markets. Our OEM production contracts offer a solid base of predictable recurring revenues as was once again demonstrated this quarter. This is a strong foundation for growth. We will continue to innovate both our existing products and the development of new products. As the air transport display product line continues to experience strong demand, we are developing new features, functionality and products to add to our existing portfolio serving that market. 07:20 On the autothrottle front, we have developed a new installation process to reduce autothrottle installation time. Our marketing team and our technicians are training the test run international sales force this month to take advantage of the new process that reduces downtime of the aircraft during modification. Another announced at NBAA last quarter, we are broadening our product market potential by developing new autothrottle technology for turbo fans such as the CJ aircraft. 07:58 As part of our overall strategy, we will continue to invest in research and development. We plan to maintain our investment in R&D as a percentage of revenues at a level consistent with the past several years. To capitalize on the sizable retrofit market, we are growing our sales and marketing department. We have hired a new military program manager with background from the U.S. Air Force and Sikorsky to help with our efforts in growing the military portion of our business. 08:31 After a long period, where marketing efforts were constrained due to the pandemic level of restrictions, we are ramping up our sales and marketing activity, attending more trade shows, meeting face-to-face with customers and, therefore, adding new business development professionals. While our OEM and aftermarket customer base remains enthusiastic supportive of our ability to deliver quality products during these challenging times, we also see some opportunities on the military side of the business. 09:10 Our strategy of developing industry-leading price for performance products provide us with a competitive advantage in identifying new market opportunities. Operational efficiency is a key to our success and we will continue to optimize our processes and personnel in all areas of our business. This continuous improvement efforts resulted in reduction of operating expenses as a percentage of revenue by 10% in the first quarter. 09:43 In the first quarter, cash flow from operations exceeded net income. We judiciously used some of this cash to increase our inventory in areas where we see potential supply chain challenges to protect our ability to deliver to our customers in a timely base. Since adopting this current strategy several years ago, our focus has enabled us to enjoy an extended period of success despite the pandemic, strained supply chain, inflation and many other challenges. As some of our end markets begin to improve and pandemic imposed restrictions are lifted, we are confident that we are well positioned to build on this success and continue to generate steady financial results. 10:40 Now I'd like to turn it over to Rell to review our financials in more detail.
Relland Winand: 10:45 Thank you, Shahram and thank you all for joining us this morning. Looking at the first quarter, revenues were $6.7 million, up 38% from $4.9 million a year ago. Our general aviation and commercial air transport business each contributed to the quarter's growth. Our long-term PC-24 and King Air Autothrottle OEM production programs continue to provide steady predictable revenue and this quarter was no exception. 11:13 Our revenues tend to follow customer production schedules with, for instance, Textron reported improved sales of both King Air 250/260s and 350/360s, while Pilatus continues to run at a high production rate. In our flat panel production line, Air Cargo revenues and orders remained strong. Total new orders in the quarter were approximately $3.8 million and we exited the quarter with a backlog of $6.2 million, which is up compared to $4.2 million in the same point a year ago. 11:46 Gross margins for the quarter were 59.3%, up from 52.7% in the year-ago quarter as well as up sequentially to 57.6% last quarter. Margin continues to trend in line with historical averages with fluctuation quarter-to-quarter primarily attributable to product mix as well as operating leverage resulting from the growth in revenues. For instance, our 38% revenue growth in the quarter helped to leverage our fixed manufacturing overhead and expand margins. 12:16 Total operating expenses for the first quarter of fiscal 2022 were $2.5 million, which is up from a year ago on an absolute basis but at 38% of revenue down 10% from 48% a year ago. Due to both our growth over the past year as well as some relaxation and public health restrictions, we have been strategically strengthening our organization in sales and marketing as well as resuming marketing spend on in-person trade shows and customer business. 12:45 Research and development increased compared to a year ago as we continue to target 10% to 12% of revenues for development of innovative new technologies and products. Selling, general and administrative expenses were relatively unchanged from the year ago quarter. We believe quarterly operating expense level will remain in the current range. For the quarter, we generated operating income of $1.4 million, which is 21% of revenue, up significantly from just $232,000 a year ago. 13:16 We recorded taxes of $307,000 in the quarter as we have now fully utilized our tax NOLs. We anticipate that our tax rate will be approximately 21% going forward. Net income for the quarter was $1.1 million or $0.07 per share, an increase from $240,000 or $0.01 per share in the year ago quarter. The company remains in a strong financial position. We generated $1.5 million of operating cash flow in the first quarter of fiscal 2022. So that at quarter end, December 31, we had $9.7 million of cash on hand. 13:53 As discussed on the fiscal year-end earnings call in December, the company anticipates that due to the ongoing supply chain issues and challenges resulting from COVID-19 -- from the COVID-19 pandemic, we will continue to maintain a slightly higher-than-normal level of inventory as an added measure of precaution. The company is debt-free. We believe that the company has sufficient cash to fund operations for the foreseeable future. 14:18 Now I'd like to turn the call back to Shahram for some closing remarks.
Shahram Askarpour: 14:24 Thank you, Rell. The fiscal year 2022 has started strong and we plan to continue that trend. We have built a strong operational team dedicated to creating value through products and technology innovation and customer service excellence. We will continue strengthening the organization as we grow the business. We put this an arsenal of great technology and products with an energetic and enthusiastic team that is fully dedicated to executing on our growth plans. 14:58 We will now open the floor for questions.
Operator: 15:06 At this time, we will open the floor for questions.  Our first question comes from David Campbell with Thompson Davis & Company. You many now go ahead.
David Campbell: 15:37 Hi, Shahram. Hi, Rell. It's a great report, a great start to the fiscal year. I did want to know is there any problems with the supply chain issues getting parts and information to you in time for your production if you had any travel issues with that delivery situation?
Shahram Askarpour: 16:10 So far, we've been fortunate not to have been present in that stake. We've taken a lot of measures, including earlier on, we hired some additional procurement people to help us find parts. We've also have taken steps in areas where we see the challenges may occur where we procure some parts ahead of time. So we have not had any situations where it has not -- we have not been able to deliver to our customers due to supply chain.
David Campbell: 16:53 That’s good. And Rell the SG&A is down as a percentage of sales, but it's up substantially from the prior two quarters.
Relland Winand: 17:10 Yes. So Q1, typically, when we incur audit fees and things of that nature because of the financial audit, it's usually up. If you look over our history, first quarter is usually higher. We also have some trade shows in the Q1. So that bumps it up a little bit.
David Campbell: 17:27 Yeah. So -- but you are expanding your -- as you mentioned, your marketing and research staffs that must have had some impact on that cost line too.
Relland Winand: 17:45 If you want apples-to-apples, we'll probably bump it up from past history what I'm saying, so.
David Campbell: 17:55 Yeah. So the $1.8 million for the quarter is not necessarily going to be $1.8 million for future quarters?
Relland Winand: 18:04 My guess is it will be maybe a little bit less than that, but more trade shows.
Shahram Askarpour: 18:12 We had trade shows and audits. So it will be down a little bit going forward.
David Campbell: 18:20 Right. The backlog is up nicely. The backlog reflects orders primarily the King Air Autothrottle equipment? Is that primarily where the growth is?
Shahram Askarpour: 18:40 In all segments, we're seeing increased interest on all segments of the business, actually, including some military were getting orders from the U.S. maybe. So overall, everything is tend to be moving up, which is a good sign.
David Campbell: 19:05 Yeah. Well, it should be reflected in future revenues -- future revenue growth. So that's good. I think the backlog is indicative of a lot of things, but I assume Geoff was the chief, I always thought him as the chief salesman of the company. And I assume that you've added lots of -- you've added some sales personnel, marketing people which will help replace that. Is that correct?
Shahram Askarpour: 19:43 We continue to do that. Yes. And I've also always been very close to all of our customer base and continue keeping that relationship with them.
David Campbell: 19:52 Right. Very good. Geoff had  close relationships. Okay. I’ll let you go. Thanks for the help and that was a good quarter.
Shahram Askarpour: 20:06 Thank you.
Operator: 20:10  Our next question comes from Michael Friedrich, Retail (ph). You may now go ahead.
Unidentified Participant: 20:28 Good morning, guys.
Shahram Askarpour: 20:31 Good morning.
Unidentified Participant: 20:33 Certainly, my condolences out to Geoff and his family. I always enjoyed speaking with him, and it certainly seems like he's an incredible guy. Anyway, so my question, Shahram, was, you discussed the innovation on the installation process to make it less time consuming, it may be even less costly. Can you try to give us a little bit of a -- little more color on that as far as like how much shorter the process is, and how much easier it will be for the Textron folks to be able to do this? And then also, do we expect the market for the retrofit to get going here?
Shahram Askarpour: 21:14 So in terms of the installation time, we see more benefit in reduction of the installation time in terms of downtime of the aircraft. And keep it within the component of such things like angle where it takes about two weeks to do an angle for the aircraft. And Textron believes that if we can keep the installation confined to that period of time that they would be able to -- it will be more attractive. So we don't have to hang on to those airplanes for longer than that. And we believe we've achieved that. It takes a while for their technicians to come up to speed with the new installation process. 22:10 We've done improvement, for example, on calibration of the equipment, where there were some minor steps going on in calibrating things like the pitch, roll and the heading of the standby instruments. We've automated that process. It takes about a day of time just out of that process. So there's a lot of areas where we've done improvement. I can't exactly say how much the reduction in time will be until we see Textron technicians perform the tasks and become proficient in it, and then we'll have a better call into exactly how much time we saved.
Unidentified Participant: 22:59 Understood. Has the feedback been good from Textron? I mean, are they excited about this?
Shahram Askarpour: 23:05 So they are very excited about it. I mean another thing we also did with them was that we actually carrying some inventory in-house because one of their issues also was that a lot of the time somebody comes in the shop with their airplanes, do an angle or whatever, and they convince them to buy an autothrottle. And now they're going to have to order one and it takes time. So we started carrying inventory as of this month, so we can supply to them immediately. But end of this month, I think it's on the 25 that our guys are going down to Textron. They have the annual international sales conference. And we're going to talk about with their international salespeople, but all of these as well as our technicians are going down to provide classes, to train Textron technicians in the new installation. And then we will continue doing that training to all our other installers that are non-Textron affiliate.
Unidentified Participant: 24:27 Got it. Okay. And are there -- I know that there's been other talk, at least some discussion of the idea of potentially putting some of -- putting the autothrottle into some of the other Textron production lines. I'm sure you obviously have nothing to discuss, but is there right now currently in progress, other OEMs that you're in discussion with?
Shahram Askarpour: 24:56 We are currently in discussions with other OEMs for autothrottle as well as some of our other product lines.
Unidentified Participant: 25:05 I understand, right? And just without giving away too much, has there been much more progress on the -- on some of the large military planes?
Shahram Askarpour: 25:15 That's a long term -- that's a long-term view when we deal with the military. And -- there's a large fleet of KC-135, for example, that actually have our -- some of our primary flight installations provide all the alternatory for that. And I'm really starting to communicate and -- the idea of putting an autothrottle on those aircrafts, it doesn't happen overnight to the military.
Unidentified Participant: 25:52 I understand. Well, thanks a lot, guys. And obviously, best of luck going forward and talk to you soon.
Shahram Askarpour: 26:03 Thank you.
Relland Winand: 26:05 Thanks for your support.
Operator: 26:07 This concludes our Q&A session as well as the conference. You may now disconnect. Have a good day.